Operator: Greetings, and welcome to the Oncternal Therapeutics Incorporated First Quarter Financial Results Conference Call.At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded.It is now my pleasure to introduce your host, Mr. Rich Vincent, Chief Financial Officer. Please go ahead, Mr. Vincent.
Richard Vincent: Thank you, operator. Good afternoon, everyone and thank you for joining us. I'd like to welcome you to our business update and 2020 first quarter financial results conference call.Joining me on the call this afternoon are our President and CEO, Dr. James Breitmeyer; and our Chief Medical Officer, Dr. Frank Hsu. Today's call includes a business update and discussion of our 2020 first quarter results, which will be followed by Q&A. Please note that today's press release is available on the Investor Relations section of Oncternal's website.Earlier today, we filed our 10-Q for the first quarter 2020. A replay of today's earnings call will be available on the investors section of our website for at least the next 30 days.Please note that certain information discussed on the call today is covered under the Safe Harbor provisions of the Private Securities Litigation Reform Act. We will be making forward-looking statements during this call about future events such as our business and product development strategies and future financial and operating performance. Our actual results could differ materially from those stated or implied by these forward-looking statements due to risks and uncertainties associated with our business.These forward-looking statements should be considered in conjunction with and are qualified by the cautionary statements contained in today's press release and our SEC filings including our Form 10-Q for the quarter ended March 31, 2020. This conference call contains time-sensitive information that is accurate only as of the date of this live broadcast, May 07, 2020. We undertake no obligation to revise or update any forward-looking statements to reflect events or circumstances occurring after the date of this conference call.With that, it's my pleasure to introduce our CEO, Jim Breitmeyer.
Jim Breitmeyer: Thank you, Rich. And good afternoon, everyone. At Oncternal, we are committed to developing novel treatments for patients with cancer who have critical unmet medical needs. We are advancing a robust product pipeline with clinical and preclinical product candidates that target several such cancer indications. Our development efforts focus on untapped biological pathways implicated in cancer genesis and/or progression.In the first quarter of 2020, we've made steady progress on all four of the cancer indications we are studying with our clinical product candidates and this includes the clinical trial studying TK216 for Ewing sarcoma, and the clinical trial studying cirmtuzumab for Mantle Cell Lymphoma or MCL, as well as breast cancer and Chronic Lymphocytic Leukemia or CLL. We are particularly enthusiastic about the 50% complete response rate we recently reported for patients with MCL, treated with a combination of cirmtuzumab and ibrutinib, and the 28.5% response rate we recently reported for patients with relapsed/refractory Ewing sarcoma treated with TK216.Everybody is thinking about COVID-19 and its effect on the biotechnology industry. And at this point I can report that Oncternal's programs continue to move forward and our employees are doing a wonderful job of managing the challenges related to the pandemic. Oncternal's first priority during this unprecedented public health emergency has been protecting the safety of the patients on our clinical trials, along with the safety of the staff at clinical sites and that of our own employees, while ensuring regulatory compliance and data integrity.Enrollment of new patients into our study has slowed as reported by most other drug developers, but we have continued to enroll additional relapsed/refractory patients into the Ewing sarcoma study in the last few weeks, despite COVID-19-related constraints, highlighting the excitement that our recent deep clinical responses to TK216 have engendered among investigators and the patient community. We believe we have adequate supplies of TK216 and cirmtuzumab clinical trial material through at least the end of 2020. WuXi [ph] our antibody manufacture in China is back to full operations.Preclinical studies of TK216 and cirmtuzumab are continuing, but many of the laboratories of our academic collaborators are in partial lockdown. So we do expect some delays in preclinical results concerning potential new indications. Overall, I'm happy to report that Oncternal remains on track to meet our previously disclosed clinical data milestones for 2020 and I will review them for you shortly.I will now turn the call over to our Chief Medical Officer, Dr. Frank Hsu, who will provide more detail on the clinical programs.
Frank Hsu: Thank you, Jim. I'll spend the next few minutes updating you on the progress of our clinical programs and taking you through a more looking in-depth at diverse product candidates.In April 2020, we announced an interim clinical data update for TK216, which is a novel investigational small molecule inhibitor that targets the E26 transformation, specifically ETS, a family of oncoproteins. In our ongoing multi-center Phase 1 clinical trial, we've been investigating the effect of this agent in patients with relapsed/refractory Ewing sarcoma, which is a relatively rare and really difficult to treat malignancies.As of the data cut-off date of March 26, 2020, seven patients have been treated at the recommended Phase 2 dose or the RPTD of TK216, which is 200 milligrams per meter square per day for 14 days with or without vincristine. Patients were evaluable for clinical responses. Two of the seven patients, 28.5% had achieved a partial response, two had stable disease and three had progressive disease. Two additional patients had rapidly regressed [ph] disease early in the first treatment cycle and exited the trial before being evaluated for toxicity or efficacy and per protocol we will replace with two new patients.Both responding PR patients remain on treatment and are doing well. One of these patients receiving singulation TK216 had a complete regression of all metastatic lung lesions except one. After maintaining a sustained PR on TK216 and then TK216 plus vincristine, the last residual lung lesion was surgically removed and so the patient achieved a surgical complete remission.The second responding patient achieved a 90% reduction of target lesions and resolution of non-target lesions following two cycles of TK216 in combination with vincristine. Overall, safety events associated with TK216 have been manageable. For instance, related events, such as neutropenia have responded quickly to G-CSF.Now I'm going to switch the discussion over to our cirmtuzumab program. In March 2020, we announced an interim clinical data update for cirmtuzumab, which is a ROR1 targeted monoclonal antibody, in combination with the ibrutinib in patients with relapsed/refractory mantle cell lymphoma enrolled in our ongoing Phase 1/2 clinical trial.The new data indicated that six of twelve evaluable patients or 50% achieved a complete response by Cheson criteria. One of the six had a complete metabolic response, as determined by PET scan. Overall a best objective response, CR or PR response rate of 83% was observed. We believe these results compare well to reported outcomes from ibrutinib or other BTK inhibitors and similar MCL populations.Now at the same time, the CLL portion of our ongoing clinical study continues to enroll and treat patients. 34 patients were enrolled into the dose escalation and expansion portions of the study and it\s expected that all active patients in this group will reach actually one year of therapy by the second half of 2020. We are planning to update both the MCL and CLL data from this trial at an upcoming medical meeting.Now regarding breast cancer, which is an IST study, we expect additional clinical data to be available from the Phase 1 investigator sponsored study of CIRM plus Taxol in patients with HER2-negative breast cancer in the second half of 2020. And our final program is the development of ROR1 CAR-T cell therapy. In February 2020 we presented ROR1 CAR-T preclinical data at the ASCO-SITC Clinical Immuno-Oncology Symposium.ROR1 CAR-T cell therapy demonstrated expansion, persistence and anti-tumor activity in an animal model of human leukemia. This research is being conducted by our collaborators at the University of California, San Diego or UC, San Diego under grant from the California Institute for Regenerative Medicine, otherwise known as CIRM. Now this work continues through a partnership with Shanghai Pharma. The timing of the program has been delayed due to COVID-19 pandemic events in China, and our goal is now to initiate it first in human study in 2021.Finally performing clinical trials has been a challenge during the COVID-19 pandemic. Oncternal has been fortunate to remain active and be able to run our clinical studies. We have continued to enroll new patients although at a slower pace and have worked with our investigators and their sites to maximize continued visits and treatment of our existing patients when possible.In addition, we have worked to provide self-administered medications directly to our patients to help reduce travel. And we have been working to develop a broader network of sub-investigator sites to help administer IV drugs closer to home. These efforts and combined with the dedicated patients and tremendous investigators for whom we are very thankful, have allowed us to continue to treat our patients in our studies and trials.Now I'd like to turn it over -- back over to Richard Vincent, our Chief Financial Officer to review our financial results.
Richard Vincent: Thank you, Frank. In October 2017, CIRM awarded an $18.3 million grant to the researchers at the UC San Diego School of Medicine to advance our Phase 1/2 clinical trial evaluating cirmtuzumab in combination with ibrutinib for the treatment of patients with B-cell B-Cell lymphoid malignancies, including MCL and CLL. We are conducting this study in collaboration with UC San Diego and expect to receive $14 million in development milestones on a research sub-awards throughout the award period. In conjunction with this award, our grant revenue was $0.6 million for the first quarter ended March 31, 2020.Our total operating expenses for the quarter ended March 31, 2020 were $5.3 million. Research and development expenses totaled $2.7 million and general and administrative expenses totaled $2.6 million. Net loss for the fourth quarter was $4.7 million or a loss of $0.31 per share basic and diluted. As of March 31, 2020, we had $16 million in cash and cash equivalents. We believe these funds will be sufficient to fund our operations into the fourth quarter of 2020. As of March 31, 2020, we had approximately 15.4 million shares of common stock outstanding.Now, I will turn the call back to our CEO, Jim Breitmeyer.
Jim Breitmeyer: Thank you, Rich for that summary of our financial results and Frank for the clinical summary. I would now like to highlight the upcoming milestones that we expect to reach over the next several months. Despite the disruptions related to the COVID-19 pandemic, we remain on track to achieve the same key clinical data readouts for cirmtuzumab and TK216 that we had planned for this year.Specifically, we expect to present clinical data from seven to 12 patients with relapsed/refractory Ewing sarcoma who have been treated with TK216 plus vincristine in the expansion cohort of the study in the second half of 2020. We expect to present a clinical data update for patients with MCL treated with cirmtuzumab plus ibrutinib, including data from 15 patients in the dose finding and expansion cohorts of the Phase 1/2 study in mid-2020.We expect to present a clinical data update for patients with CLL treated with cirmtuzumab plus ibrutinib, including up to 12 months of follow-up for 34 patients in the dose finding and expansion cohort of the Phase 1/2 study in mid-2020. We expect a clinical data update to be available from the Phase 1b investigator-sponsored study of cirmtuzumab plus paclitaxel in patients with HER2-negative breast cancer in the second half of 2020. We expect to treat the first patient with ROR1-targeted CAR-T in the first half of 2021 in collaboration with Shanghai Pharma Limited.In closing, we have a well-defined work plan ahead of us with multiple potential catalysts in 2020 and a clear priority of deploying our financial and operating resources to advance our product candidates in multiple clinical indications to benefit patients with cancer. We look forward to updating you during the remainder of 2020.With that, I'll be turn things back to the operator for the Q&A portion of this afternoon's call.
Operator: Thank you. [Operator Instructions] First question is from Hartaj Singh, Oppenheimer. Please go ahead, sir.
Hartaj Singh: Great, thank you for my question, and Jim, to everyone, that's great that you're continuing on with the work in this pretty heinous pandemic. So thank you for that. Just a couple of questions -- and thanks for the upcoming milestones, I think those are very clear there. There is a lot of data flow in the next six to nine months.My question to you specifically on regulatory interaction, so if you could just maybe just walk through cirmtuzumab in MCL, in CLL and then TK216. Once you present this data, what are the key regulatory interactions you expect after that? And then the second question the follow-up to that would be is which of these three would you expect to sort of go into that next range of clinical trials and would any one of the 3D in a trial that would be a sort of accelerate approval, sort of trial and ideal in 2021? And then, I got a quick follow-up.
Jim Breitmeyer: Thank you, Hartaj. That's quite a compound question. So I'll start out -- and this is Jim. I'll start out and then turn it over to Frank. So from a regulatory perspective, we have always believed that -- let's start with TK216 -- we've always believed that evidence of objective responses in a relatively small number of patients would be sufficient to go and discuss the TK216 program for Ewing sarcoma with the FDA, because the treatment landscape for Ewing sarcoma is so dismal with only a single combination regimen as front line standard of care and no standard second line.So as you can imagine, we are encouraged by having had two substantial clinical responses out of the first seven patients with the Phase 2 regimen. And we believe that with a little bit more data, we would be ready to go to the FDA and talk about a pathway to an accelerated approval that would be based on objective response rate for TK216 in Ewing sarcoma.In Mantle Cell Lymphoma, we believe that a 50% complete response rate with the combination of ibrutinib plus cirmtuzumab is notable compared to ibrutinib alone, particularly considering a -- an interesting safety profile that appears to be -- to have fewer adverse events than other ibrutinib combinations that have been presented recently. So we think that we are quite close to having enough information in Mantle Cell Lymphoma to have a discussion with the FDA about a potential accelerated approval.For CLL with the data that you've seen so far and that we discussed today, we think that we needed a little bit more time for the data to mature to see if we would go to talk to the FDA about a complete response endpoint or a progression-free survival endpoint. And so we'll know more about that after our next data update.With that let me turn it over to Frank Hsu and let him discuss with you what potential registration studies might look like for Ewing sarcoma and MCL as a next step.
Frank Hsu: Thank you, Jim. This is obviously something which is very much in discussion at our -- within our group about how best to proceed. As Jim has pointed out, we have some exciting data both in TK216 and CIRM, particularly with the mantle cell program that we've been highlighting. Right now, as Jim mentioned, we have some exciting day with TK216, which shows that we have activity.We would like to expand on that and then discuss with FDA potential registration pathways that might, as been alluded to be something, which we hope could be negotiated to an accelerated program. But that's all within FDA negotiations of course. The other main program is the mantle cell program. As Jim mentioned, we believe our results, which although on a small group of patients and hope that they hold up, indicate that we have a very active combination right now when compared to historical data.And that is something which in negotiations with the FDA, there are several paths in which one could imagine an accelerated trial being set up for, but that is very, very much something which we have to have an ongoing discussion with the FDA. So there is nothing where I could comment on about that until we get further guidance on that.
Hartaj Singh: Great, thank you. Thanks for the commentary. And that's actually very, very helpful. The other question I have is that you've indicated that you've got enough drug supply, drug material looks like to get through the rest of the year. You've got cash on hand, through the end of the year, how are you thinking?I mean if, let's say your regulatory discussions, especially after you present this data in the middle part sort of heat up for either Ewing sarcoma, with TK216 or MCL or cirmtuzumab to go into an accelerated approval, kind of trial. I know those probabilities are historically, tend to be low, but all depends on the data. But just how are you thinking about manufacturing and sort of from a cash and financial perspective and how to get ready for 2021? And again, thank you for all the questions.
Jim Breitmeyer: Hartaj, this is Jim. Thank you for that question really around manufacturing strategy with a potential fast track clinical program. So we have reviewed alternatives in depth and we have -- we do have plans in place to continue to improve our manufacturing processes.We're already happy with the way that we -- that we're manufacturing both TK216 and cirmtuzumab. And with some modest additional work we believe that we can produce a potentially commercial grade material that -- and we do have a plan that we think the CMC side of things can keep up with the clinical side of things, even under a best case fast track regulatory pathway.Of course, it's quite a juggling act with finances. And so we are very carefully gating spending on the CMC side to be related to clinical results. So that we're not getting out over our skies on CMC spending.
Hartaj Singh: Great, thank you Jim. Thank you, everyone. Really appreciate all the questions.
Jim Breitmeyer: Thank you for your questions, Hartaj.
Operator: The next question is from Carl Byrnes, Northland Securities. Please go ahead, sir.
Carl Byrnes: Great, thanks for the question. First, congratulations on your progress and the impressive results today. I was just wondering, if there were any abstracts presentation publications that you anticipate from the studies near-term? Thanks.
Jim Breitmeyer: Carl, this is, Jim and yes that's easy. We -- you will see an abstract from us at the -- at ASCO when the abstracts are disclosed in about a week.
Carl Byrnes: Great. So they will be -- that's what -- they'll be disclosed on May 13 for the 29 to 31 ASCO Virtual.
Jim Breitmeyer: Yes. Yes.
Carl Byrnes: Okay, perfect. Thank you.
Jim Breitmeyer: Thank you, Carl.
Operator: We have a question from Robert Burns, H.C. Wainwright. Please go ahead, sir.
Robert Burns: Hi, thanks for taking my questions and congrats on the quarter, guys. Two questions from me if I may. So I wanted to -- first one, I wanted to get your thoughts around the positive top line results we saw from the Phase 3 Unity CLL trial and the fact that it was stopped early due to superior efficacy. I was wondering how you're viewing that from a competitive landscape development. And whether it changes your calculus within development for cirmtuzumab for CLL?And then my second question, so I was looking at the investigator-sponsored trial in breast cancer for cirmtuzumab and I noted that they are including both HR positive HER2-negative as well as triple-negative breast cancer, but they exclude, specifically exclude patients who had prior exposure to taxane? Now given the IMpassion130 regimen that's in front line TNBC and the use of other taxanes as single agent within the front line.I was curious how you're thinking about that, if -- how you're thinking about the development of cirmtuzumab in that indication? If the data is positive, would you specifically exclude TNBC moving forward, just considering how much of it is actually administered in the frontline setting? Thank you.
Jim Breitmeyer: Thank you, Rob. So let me, I'll handle the breast cancer related question first. And so, when this investigator-sponsored study was initiated, the triple-negative results including taxanes had not been presented and we didn't have any preclinical data. And on prior taxane exposure and response to subsequent taxanes and cirmtuzumab. And so, we are -- the IST is designed to get a clean result with patients that are seeing taxanes for the first time. So, we will consider very carefully the evolving landscape. And we are also doing -- we're developing some preclinical models to see if prior taxane exposure is an important factor for the subsequent response to taxanes plus cirmtuzumab. So basically, I'm saying it's an open question.So then, let me turn over to Frank Hsu to discuss our results in the context of the CLL landscape.
Frank Hsu: Well, as you pointed out, the CLL landscape has been changing quickly and dramatically. The Unity study which you talked about was stopped on the basis of PFS so that data hasn't been released as far as I could find or know about except that it's supposedly is superior at this point. So we'll need to gauge or make an assessment of that once that data has been fully vetted but -- and released to the public.But at the moment we're still relatively early. We do not know our overall effects on PFS. The PFS can take a bit of time with CLL, as you're aware to mature. And so, I think that we are still showing some very interesting results that we've reported in the past. So we have an active agent. The question will remain is whether or not it will impact PFS in the long-term, and we don't have enough long-term follow-up with enough patients yet to know the answer to that [multiple speakers].
Robert Burns: I'm sorry.
Jim Breitmeyer: Go ahead. Rob, go ahead. I think, Frank's comments are clear.
Robert Burns: For the update that's going to be coming in mid-2020, would there be any PFS data associated with that update, because I know -- yeah, for the Phase 1/2 mid-2020 update, is there going to be any PFS standard associated with it?
Jim Breitmeyer: Frank, go ahead.
Frank Hsu: Yeah, we haven't released any of the data yet. I'm not sure how much were embargoed, but as much data as we can, will be presented at the meeting.
Robert Burns: Okay, thank you.
Jim Breitmeyer: Yeah. And Rob, you'll recall that we -- when we last disclosed CLL data in March, I think that we had not seen a single event of CLL disease progression. So PFS, we're sitting at a 100%. And so, we're certainly crossing our fingers that it is that kind of continuing data, something near that might show up again. But of course, we don't know at this point.
Robert Burns: Awesome. Thanks for taking my questions.
Operator: There are no further questions at this time, I'd like to turn the call back over to Mr. Rich Vincent for closing remarks. Please go ahead, sir.
Richard Vincent: Thank you, operator. And on behalf of Oncternal, thank you all again for joining us today. Everyone stay safe and healthy. And we look forward to future updates.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.